Operator: Good day, and thank you for standing by. Welcome to Deterra Royalties Full Year FY 2025 Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I'd now like to hand the conference over to Mr. Julian Andrews, Chief Executive Officer and Managing Director. Please go ahead, sir.
Julian Paul Andrews: Thank you. Good morning, and welcome to Deterra Royalties Full Year 2025 Results Call. I'm Julian Andrews, MD and CEO of Deterra, and I'm joined today by Jason Clifton, our Chief Financial Officer. I'll begin today with some introductory remarks and then pass over to Jason, who will take you through our financial results. Following that, I'll provide some brief comments on our strategy and outlook, and then we'll hand back to the operator and open the line for questions. We're aware that it's a very busy day today in the market, so we'll try to keep our comments brief so that we have time to cover some questions at the end. I'm sure most of you are familiar with our business model and strategy, so I won't spend any time on this slide other than to say we are a simple and transparent business built around high-quality assets with a consistent strategy and compelling investment thesis. So turning to Slide 4. I'm very pleased to be reporting another strong set of results. It's been a year of significant development for Deterra, one in which we've successfully completed and integrated our first investment, and it's particularly pleasing to report a 10% increase in revenue and underlying EBITDA and growth in net profit. These results were underpinned by record volumes at key producing assets, including revenues from new assets in our portfolio. Mining Area C continued its outstanding performance with another year of record production volumes, which partly offset lower realized iron ore prices and delivered a $20 million capacity payment. We were very pleased to note BHP's announcement in its June operational review that South Flank has exceeded its nameplate capacity production in its first year following ramp-up. With 140 million wet tonnes produced in FY '25, MAC is now operating at about 2.25x its volumes in financial year '21, the year in which Deterra listed on ASX. In addition, the assets acquired during the year contributed $22.6 million in new revenue in the 10 months of ownership. The gold offtake contracts, in particular, delivered a record number of ounces. And with the record gold prices and increased volatility we saw during the year, they provided an important source of revenue, more than covering the incremental debt service costs from the investment. Clearly, a major milestone for the company during the year was the completion of this first investment. We're very pleased with the results to date. It has brought significant option value and is well ahead of our expectations in both financial contribution and progress on assets in development. At the half year results, we noted that the operator of the Thacker Pass project in Nevada, Lithium Americas, had issued an updated NI 43-101 technical report with increased reserves and resources, supporting a significant increase in the size and life of the project plan. Since that time, Lithium Americas and its JV partners, General Motors, has announced final investment decision in April, and the project is now well advanced in the construction of the 40,000 tonne per annum LCE Phase 1 with an expected completion date in late 2027. We look forward to this royalty becoming an important long-term revenue stream for many decades to come. Our balance sheet is healthy and provides flexibility to support sustainable shareholder returns as well as the ability to pursue shareholder value creation through disciplined investment. Accordingly, the Board has declared a fully franked final dividend of $0.13 per share, bringing the total dividend for the FY '25 period to $0.22 per share fully franked, and the total funds returned to shareholders since listing to $676 million, again, fully franked. Going forward, the Board has determined a dividend target payout of 75% of net profit after tax. In terms of capital allocation, our disciplined focus on value remains. We continue to evaluate opportunities to add to the company's portfolio through value-accretive investment. And with our long-term outlook and short-term liquidity, we're positioned well to execute on these opportunities as they arise over time. This diligent and consistent approach to capital allocation extends to regular reviews of our existing portfolio to evaluate value realization opportunities for noncore assets. With that, I'll hand over to Jason.
Jason Lawrence Clifton: Thanks, Julian, and good morning, everyone. Today, we've released our full year results, which incorporate our acquisition of Trident during the year. If you move to Page 5, you'll see we are delivering a very strong result with underlying EBITDA for the period of $250 million, which is up 10% on FY '24. This increase is driven from lower iron ore pricing being offset by record MAC sales and production volumes, which has delivered $20 million capacity payment. We also have had a record $21.5 million contribution from the gold offtake portfolio. In relation to costs, I mentioned at the half, we expected to deliver synergies at the top of our guidance range. And for the full year, we have delivered $5 million cost out compared with Trident's last reported full year cost base of $8 million. Julian has mentioned our 75% payout ratio and target going forward. I'll talk more to this later and just add now that we have strong confidence in our future cash flows, and so I have been able to provide a clearer payout ratio target for the market. Finally, we have a strong balance sheet, well within all of our banking covenants and our target leverage range. Moving to Page 6. You can see how MAC capacity payment and gold offtake revenue has offset a lower MAC royalty revenue, and that is exactly a $20 million difference from FY '24 on both the MAC capacity payment and the royalty. It's not a typo. On costs, I mentioned we have taken $5 million out from the combined last reported full year cost base of Trident and Deterra prior to the acquisition. This half, we have opened an office in Denver, which provides us with a permanent presence in North America, which is a key royalty sector hub. It also allows us to be closer to a number of our key assets operators. So the Deterra Group now incorporates entities and operations in multiple offshore jurisdictions, and this has added some costs in FY '25, and these are being partially offset by lower external business development spend. I'll take you through the noncash and finance costs shortly. However, just to note on this page, as reported at 1 half ' 25, the effective tax rate is 30.8%, and this is due to one-off nontax deductible Trident transaction costs, which gives us a statutory NPAT for the year of $155.7 million and adjusting for the tax- affected amounts of these one-offs gives an underlying NPAT of $160.3 million. At the top right, you can see the $0.13 per share dividend declared, which is fully franked, equates to a 75% payout ratio, both for 2 half '25 and the full year and delivered a full year fully franked dividend of $0.22 per share. Moving to Page 7. You can see MAC royalty revenue was down 8% on FY '24, which came from a 17% decrease in realized iron ore prices. On the right of the chart, you'll see this was offset by growth in sales volumes of 10% on FY '24 and together with the FY '25 capacity payment. Moving to Page 8 shows our gold offtake revenue. The top left shows the 12 months activity to June 30, 2025, whereas the bottom left shows what Deterra has consolidated from the period of acquisition of Trident, along with D&A and the noncash rebound we make on the offtakes each accounting period. On the right-hand side of the chart, you can see historical information on the offtakes. The decrease in ounces delivered in 2 half '25 is mainly as a result of Los Filos being suspended, and we outlined that in our March and June quarterly. Moving to Page 9, operating costs. I've separated recurring and one-off P&L items. On operating costs, I've covered the synergies that have been delivered and new costs to support our expanded revenue and business. And just a bit more detail on these new costs. They include a net 3 new employees located in Denver as well as in the U.K., along with the usual statutory, regulatory and compliance costs associated with maintaining entities in multiple jurisdictions. And as I mentioned, these have been offset by lower external BD costs during the year. Gold offtake depreciation is a function of the offtakes AUD 86 million opening book value, and that was reported at the first half and then the ounces delivered in the period. Net finance costs are driven predominantly by interest expense on the net debt drawn from the acquisition of Trident as well as some fees and offset by interest income. One-off Trident costs were disclosed at 1 half ' 25 and within guidance at $12 million. No further Trident integration costs have been incurred in 2 half '25 or will be going forward. And finally, we've had some noncash gains, which result predominantly from a $2.2 million reval gain on the offtakes, but these are classified as a financial asset, so a reval at each accounting period and a one-off $6.2 million noncash gain on the closing of the hedge that was taken out for the Trident purchase, and this was disclosed in the first half. Moving to Page 10. You can see the balance sheet is strong. We're well within all of our banking covenants. The leverage ratio is at 10%, and that's well within our target range. And you can see at the bottom left, we have recently restructured a maturity that we had landing in June 2026 to the 2029 and 2030 financial years. Finally, Pages 11 and 12 outline our capital management framework. And looking at Page 11 and starting on the left-hand side, one of Deterra's competitive advantages is the quality and consistency of our cash flows from MAC. In addition, we've mentioned previously that where we have one-off receipt from milestone payments or asset sales, they will be used to reduce debt. So we have a very strong balance sheet, and this provides us with a range of options to finance any potential new value-adding investments. 75% payout ratio at the full year is consistent with our payout ratio at the half and 75% going forward, we feel strikes the right balance between shareholder returns, balance sheet strength and value-accretive investment optionality. So we have confidence that 75% payout ratio is the right target to cover a range of circumstances and wanted to provide that clarity to the market. With that, Julian, I'll pass back to you.
Julian Paul Andrews: Thank you, Jason. Turning now to strategy and outlook on Page 14. Our strategy is consistent and remains focused on patient and disciplined capital allocation. We've spoken about our approach to capital returns and our criteria for value-accretive investment and our target parameters are unchanged. We're focused on opportunities where we think we're better positioned that includes established mining jurisdictions in bulk commodities, base metals and battery and energy transition materials. In terms of our key assets and outlook, clearly, we're coming to an end of significant growth at Mining Area C with production rates having more than doubled in the last 3.5 years. I never tired of talking about the quality of Mining Area C royalty and the value it brings to our business and no doubt it will continue to do so for many years. However, with the completion of the mine of the South Flank expansion, it's likely that iron ore pricing will become a key driver of revenues in the short to medium term for this royalty. In that light, the addition of other sources of growth is important to maintaining our ability to deliver sustainable returns. The Thacker Pass royalty is a textbook example of this with a multi-decade development plan that has options to increase production up to fourfold, and more than USD 0.5 billion already capitalized on its construction, and it's well advanced and on track for completion in late 2027. We see this royalty as having the capacity to be an increasingly important contributor to our portfolio for many years. Our portfolio also has a number of other assets at various stages in their development cycle, albeit many of them at a smaller scale. And in that regard, I'd call out the royalty we hold over New World's Antler Copper project that recently received a FAST-41 designation in the U.S. and has been the subject of takeover bids. And Anson's Paradox project that recently announced a maiden JORC MRE and -- sorry, an MOU to develop a DLE pilot plant in partnership with POSCO. To close, it's been a busy year, one in which we've experienced revenue and earnings growth off the back of very strong production levels at Mining Area C and our investment in new assets. I'm very pleased with the position of the company and the progress we have made in executing our strategy and look forward to doing so in the coming year. So with that, we'll wrap up, and we'll hand over for questions. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of Glyn Lawcock from Barrenjoey.
Glyn Lawcock: Julian Sorry, broke up a little bit there. Hopefully, you can hear me okay.
Julian Paul Andrews: Yes.
Glyn Lawcock: Sorry about that. Just wanted to tack a little bit more on the dividend policy change. It's come only 12 months after the prior change, and it's a target ratio of 75%. So does that mean should you buy something -- if something comes across your desk and you buy something that 75% could drop back down in the minimum 50% comes back in. So this is just a target while your balance sheet is strong? Or does it sort of signal that the next acquisition would be with scrip, not cash? I'm just trying to understand the rationale around target. Is that just while you're within that range? And if you went back up, we'd see it change again?
Julian Paul Andrews: Well, as we said, we've announced a target of 75% of NPAT today. I think that what we're looking to do is give greater clarity in terms of how we're thinking and how the Board is thinking about the ability to pay dividends going forward. As Jason said, we are confident in the cash flows that we have in terms of their ability to support dividend payments going forward. That being said, when we look at investment opportunities, we have a number of different options that are available to us. We have over $200 million worth of undrawn debt still under the facilities. And clearly, we have opportunities to go to equity if that's something that makes sense at the time.
Jason Lawrence Clifton: I'll just add to that. Glyn, it's Jason here. So yes, I talked about a range of options. Julian mentioned the capacity we have on debt. If we were to dispose of some of the noncore assets that we've talked about before, that's obviously going to provide us some more liquidity. There are a number -- obviously, there's equity issuance, but there's discounted DRP. So there's a range of options. And one of the issues we were finding with the minimum 50% is that some of the market was interpreting that as a binary outcome. If we were to pursue further value-accretive investment that we would automatically drop to 50%, and that's not the case. And that's why we have picked the 75%.
Glyn Lawcock: Okay. But target, it doesn't mean minimum either. It just means target 75%. So if we did buy something, you push back up to your net leverage ratio above 15%, we could see it for all intents and purposes come down.
Jason Lawrence Clifton: Well, it doesn't mean minimum, but it doesn't mean maximum either. So not a black and white answer for you, Glyn. But really, ultimately, as you'll appreciate, this will be circumstance specific. And what that does is give us that optionality.
Glyn Lawcock: Yes. So give us some guidance for now, but if you buy something, then revisit it again in light of what you're buying and for how much. Okay. And then just simply, you made the mention about you keep reassessing your portfolio. I think we keep asking this every 6 months, but just the gold offtake portfolio, is there opportunity still to -- I mean, it's done well, probably better than we all thought it would. But is there opportunity to offload that at a better price given someone else's lower cost to capital and a better multiple they get for running a gold book?
Julian Paul Andrews: Yes. Look, Glyn, as you say, we've sort of flagged this in the past that we're certainly very open to opportunities to realize value from noncore assets. We can't comment on specifics at the moment. But to be clear, we continue to evaluate and consider options in that regard. And if we -- if there's an opportunity to divest those at a price that we think represents value, then clearly, we'll be looking at that.
Operator: [Operator Instructions]
Julian Paul Andrews: Okay. Unless there are any late questions coming in, we will perhaps cut it off there and certainly appreciate everybody's time dialing in on what's a very busy day, and we look forward to further conversations. Thank you very much.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect your lines.